Operator: Good day, and welcome to the Centene Fourth Quarter Earnings Conference Call. [Operator Instructions]. Please note, today's event is being recorded. I would now like to turn the conference over to Jennifer Gilligan, Senior Vice President of Investor Relations. Please go ahead, ma'am.
Jennifer Gilligan: Thank you, Rocco, and good morning, everyone. Thank you for joining us on our fourth quarter and full year 2022 earnings results conference call. Sarah London, Chief Executive Officer; and Drew Asher, Executive Vice President and Chief Financial Officer of Centene, will host this morning's call, which can also be accessed through our website at centene.com. Ken Fasola, Centene's President; and Jim Murray, our Chief Operating Officer, will also be available as participants during Q&A.  Any remarks that Centene may make about future expectations, plans and prospects constitute forward-looking statements for the purpose of the safe harbor provision under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by those forward-looking statements as a result of various important factors, including those discussed in Centene's most recent Form 10-K filed on February 22, 2022; and other public SEC filings.  Centene anticipates that subsequent events and developments may cause its estimates to change. While the company may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so.  The call will also refer to certain non-GAAP measures. A reconciliation of these measures with the most directly comparable GAAP measures can be found in our fourth quarter 2022 press release, which is available on the company's website under the Investors section. The company is unable to provide a reconciliation of certain 2023 and 2024 measures to the corresponding GAAP measures without unreasonable efforts due to the difficulty of predicting the timing and amounts of various items within a reasonable range.  With that, I would like to turn the call over to our CEO, Sarah London. Sarah?
Sarah London: Thank you, Jen, and thanks, everyone, for joining us this morning as we review our fourth quarter and full year 2022 results and provide our updated outlook for 2023. First, let's close out the year.  2022 was a dynamic and productive year for Centene. We took on many challenges, including a leadership transition, transforming our organizational structure, modernizing our approach to corporate governance, focusing on our core business, improving operations and quality and delivering on our financial commitments along the way.  This morning, we reported fourth quarter adjusted EPS of $0.86 and full year 2022 adjusted EPS of $5.78. These strong results came in above the top end of our most recently issued 2022 guidance and were 7% higher than the midpoint of our initial outlook for the year. Looking back over 2022, our 3 core business lines performed well.  In Marketplace, we materially improved the profitability of our Ambetter product line through advancements in our clinical programs and strategic product positioning, delivering more than the 500 basis points in margin improvement we promised while continuing to show solid growth and market expansion. This provided Ambetter with a strong jumping off point to achieve our long-term target margin and profitable growth goals in 2023.  In our Medicare Advantage business, Centene generated outsized growth in 2022, ending the year with 21% more members compared to year-end 2021. Our focus throughout the year was on strong clinical program performance, quality improvement, which you've heard a lot about; expanded value-based care relationships; and providing enrollees with a more seamless member experience.  In 2022, the strength of WellCare's underlying performance was demonstrated through year-over-year HBR improvement. And we're confident in our increasingly disciplined approach to quality operations will provide an important lever as we move through 2023 and work to improve WellCare's profitability on its expanded scale.  Our local markets also performed well throughout the year, serving more Medicaid members in more geographies than ever before. Our Delaware go-live, as well as a significant number of successful reprocurements and program expansions, including in Louisiana, Nebraska, Texas and Missouri, to name just a few, bolstered our market presence and leadership position in Medicaid managed care.  In California, Centene was ultimately selected to serve the state through direct contracts in 10 key markets, including Los Angeles and Sacramento Counties. We are working towards readiness for the 1/1/24 start date of the new California contracts, and we look forward to our continued partnership with the state to improve the medical health care delivery system and advance the state's innovative programming.  2022 also marked the first full year of execution on our value-creation plan, and it was by every measure of success. We hit all major milestones, including redesigning our UM function across the enterprise; successfully negotiating a new PBM partnership, reducing our real estate footprint by 70% to accommodate new workforce flexibility, itself an important cultural evolution for the company; and making important investments in data and digital tools that will make it easier for our members, our providers and our employees to work with us. We exit 2022 not only well positioned to achieve our $400 million in targeted SG&A savings in 2023, but also having added $300 million in new SG&A opportunities to our longer-term backlog. In addition to achieving these value-creation milestones, we made meaningful progress on our portfolio review process.  We closed 3 divestitures in 2022 and announced a fourth. Notably, in the first weeks of 2023, we closed the previously announced sale of Magellan Specialty as well as the sales of Centurion and HealthSmart, bringing our total number of divestitures since Q4 of 2021 to 7. This disciplined execution has streamlined our enterprise, reduced distraction and allowed us to increase our focus on our core business lines. It has also powered significant and timely share repurchases during 2022 and year-to-date in 2023.  Finally, in December, we aligned the enterprise around a long-term strategic plan, inclusive of a commitment to 12% to 15% long-term adjusted EPS growth. With our senior leadership team in place and the company's demonstrated progress against our strategic and financial goals in 2022, we are well positioned to capitalize on the momentum of the past year and successfully continue our value-creation journey for shareholders and members in 2023. With that, let's talk about 2023 so far.  Centene's Marketplace products yielded exceptional growth during this year's open enrollment, outpacing even the robust growth of the total market itself. This year's OEP performance only reinforces our view of the increasing durability of the Marketplace as a coverage vehicle and Ambetter's leadership position within this market.  To harness this growth opportunity, our Ambetter team applied a portfolio approach to pricing and product positioning, decisively leveraging our local expertise and strong broker relationships on a market-by-market basis to attract and retain membership across our Marketplace footprint. While it is still early days with respect to claims experience, we want to share a few observations about Ambetter's strong OEP growth and provide some performance expectations given the team's outperformance on membership.  Approximately 70% of our 2023 membership is enrolled in a Silver Plan compared to approximately 72% in 2022. Silver plans have consistently represented the majority of our membership year after year, and 2023 is no different. Similar to previous plan years, the majority of our 2023 membership selected our core product. At the same time, we are pleased with the continued uptake we are seeing in our newer products, demonstrating the value of flexibility and plan design for our members.  Key membership demographics like gender, age, geography and subsidy levels are consistent with what we experienced last year. Most importantly, these factors are also consistent with the pricing assumptions we used for 2023 product positioning. We continue to expect our Marketplace business to achieve margins within the long-term targeted range of 5% to 7.5% during 2023. And we are pleased to have the opportunity to serve so many Marketplace members as the reach of that product continues to expand.  As we highlighted for investors last month, Medicare Advantage enrollment results for 2023 developed softer than expectations we provided at Investor Day in December. Our goal for the 2023 AEP was to foundationally align our Medicare offerings for long-term margin recovery, product stability and overall quality, capitalizing on the scale we achieved through outsized growth in 2021 and 2022.  In our effort to better control the overall member experience, which requires operational stability and contributes directly to quality results, we made the decision to change our distribution strategy and focus more on proprietary channels.  Near-term sales and retention were more significantly impacted by our distribution strategy than expected, particularly in light of competitor investment in channels we deprioritized. That said, several of the channels we prioritize performed better than expected, reinforcing our long-term view of an optimal go-to-market strategy for Medicare Advantage and dual eligible members.  Despite the soft membership results relative to expectations, we continue to expect 100 basis points of Medicare HBR improvement in 2023. Importantly, we are already seeing positive operational impact for members and brokers, with strong service levels, improved customer satisfaction and a 30% reduction in overall calls compared to this time last year.  Turning to more recent Medicare news. Regarding the finalization of the RADV rule, we are supportive of CMS' decision to limit the scope of historical audits. CMS' decision in this regard avoids significant cost and abrasion for our provider partners. That said, the lack of fee-for-service adjustment and the as-yet undefined sampling and extrapolation methodology leaves a number of open questions as to the viability of the final approach. We are working in collaboration with our industry partners to determine the best path forward.  Regarding last week's preliminary rate notice, 2024 initial rates are less favorable than recent years and below our internal expectation for funding. We will fully exercise our ability to provide feedback to CMS during the comment period and look forward to collaborating with the agency as we work towards rate finalization in April. That said, we see a path to achieving Medicare Advantage results that meet member needs and support our 2024 financial goals.  Finally, as we all know, 2023 will be an important year for the Medicaid business. In December, Congress passed the Federal Consolidated Appropriations Act for 2023, which ends a continuous coverage provision on March 31. This tees up redeterminations to begin this spring, an event we have been working to prepare for throughout 2022.  As we approach the redetermination process, we are focused on 3 things: first, optimizing the verification process for members. We are working closely with our state partners and our network of community partners in each market to facilitate member transition and coverage continuity. In the last month, we've deployed internal and external training designed to maximize each member touch point and our ability to support beneficiaries as their eligibility is reviewed.  Leveraging Centene's unique and powerful data, we've launched eligibility likelihood modeling across our Medicaid footprint in order to prioritize and customize member outreach. And we've launched enhanced reporting and membership dashboards for clear tracking of redeterminations-related activities across the enterprise.  Second, we are focused on ensuring that state program rates reflect any shifting of the risk pool created by membership changes. We recognize the dynamics in each market are different, so we are leveraging our data to support early collaborative discussions with our state partners.  And third, we are focused on maximizing the opportunity to provide coverage continuity to members who are no longer eligible for Medicaid, but who are eligible for subsidized coverage on the Marketplace. Given the strong overlap of our Medicaid and Marketplace footprint in 25 states, we continue to size the opportunity for our Marketplace products at 200,000 to 300,000 lives throughout the duration of redeterminations.  In 15 of the 25 states, where we have both Medicaid and Marketplace products, we will reach out to our current members directly with educational information regarding the enrollment process as well as with Marketplace plan options. We expect that state count to grow as we advance through the redeterminations process, and we have a robust, scalable plan in place to support this communication and education effort.  Finally, I'd like to highlight some important news that came just a few weeks ago. In late January, the FCC issued guidance to improve member communication opportunities related to maintaining Medicaid and other governmental health care coverage. We view this as an incredibly important step, not only relative to supporting a seamless verification process, but also a meaningful step forward in modernizing the industry's overall approach to Medicaid member engagement. We are working closely with states to integrate this guidance into our redetermination strategy and to prove the value of digital engagement in reducing cost and improving member outcomes.  On balance, when you take into account our more informed view of open enrollment for 2023, the updated timing of redeterminations and recently closed divestitures, we are well positioned to achieve the top half of our full year 2023 adjusted EPS guidance. Drew will provide greater detail on our outlook in just a moment.  As we look ahead, 2023 promises to be another transformative year for the enterprise and one in which we will need to navigate notable market dynamics across our product lines from redeterminations to Medicare positioning to fast-growing Marketplace products. This is not new for Centene, and we are better equipped to manage through this change than we ever have been before, thanks to the work we have done over the last 18 months to focus and fortify our operations and to align the organization around value-creation principles.  As we look downfield, we continue to see tremendous opportunity for all 3 of our core businesses, including complex Medicaid populations and dual eligibles, Marketplace adjacencies and STAR score improvement. We continue to track well against our long-term goals and look forward to executing against our strategic plan, driving strong results and delivering value to members and shareholders.  With that, I will turn it over to Drew to review our results and outlook in more detail.
Andrew Asher: Thank you, Sarah. Today, we reported fourth quarter 2022 results, including $35.6 billion in total revenue, an increase of 9% compared to the fourth quarter of 2021, and adjusted diluted earnings per share of $0.86 in the quarter. For the full year, we reported $5.78 of adjusted EPS, a 7% beat over our original 2022 guidance and growth of over 12% compared to 2021.  Let's start with revenue details for the quarter. Total revenue grew by $3 billion compared to the fourth quarter of 2021, driven by strong organic growth throughout the year in Medicaid, primarily due to the ongoing suspension of eligibility redeterminations; strong Medicare membership growth; and the January 2022 acquisition of Magellan, partially offset by divestitures.  Our Q4 consolidated HBR was 88.7%, a little bit better than our expectations, and 87.7% for the full year. Medicaid at 89.6% for the full year was right in line with our expectation of an HBR in the 89s for 2022. Medicare at 86.2% for the full year was 90 basis points better than 2021, driven by execution of clinical initiatives.  And on commercial, recall, we originally promised a 500 basis point reduction in the HBR in 2022. How did we do? We were down 550 basis points for the full year. This was driven by disciplined pricing actions, initiatives executed in 2022, and as expected, a reduction in COVID and pent-up demand costs compared to 2021.  Moving to other P&L and balance sheet items. Our adjusted SG&A expense ratio was 9.3% in the fourth quarter compared to 8.7% last year, driven by the inclusion of Magellan and the sale of PANTHER as well as increased Medicare marketing and value-creation investment spending in the quarter, given the overall company outperformance.  Cash flow used in operations was minus $1.6 billion in the fourth quarter. You may recall, in the third quarter, we had an early receipt of $2.9 billion of CMS payments pertaining to the fourth quarter, which is driving down our reported Q4 operating cash flow. Cash flow provided by operations was $6.3 billion for the full year, representing 5.2x net earnings or 1.9x adjusted net earnings. This was driven by earnings before charges, including real estate and divestiture-related impairments and an increase in medical claims liabilities.  Our domestic unregulated and unrestricted cash on hand was $793 million at year-end, though after making some planned pass-through payments in early January, that amount is closer to 0.  From January of 2022 through today, we repurchased 39.1 million shares of our common stock for $3.3 billion. Debt at quarter end was $18 billion, down approximately $800 million from prior year-end, driven by senior note repurchases of $318 million, a repayment of our $180 million construction loan and repayments of over $100 million in revolver and term loan borrowings. Our debt-to-adjusted EBITDA came in right at 3.0x, down from 3.5x a year ago. Days in claims payable was 54 in Q4 of 2022 compared to 54 in Q3 of 2022 and 52 in Q4 of 2021.  GAAP earnings during the quarter include impairments related to several divestitures that were completed or pending as of December 31, as well as an impairment of our federal services business, partially offset by a gain on the sale of MagellanRx.  Looking back at 2022, it was a very good year of execution during some notable changes for Centene. Sarah hit on some of the highlights, but let me remind you of a few. We beat original adjusted EPS guidance by 7%. We bought back almost 7% of the company's shares, including January 2023 repurchases. We reduced debt-to-adjusted EBITDA to 3x and got upgraded to investment grade by Fitch. We continue to execute on divestitures. Since Q4 of 2021, we've completed 7 divestitures for gross proceeds of over $3.5 billion. We improved the discipline of the company in many areas while strengthening DCP by a couple of days, and we picked up 2 very strong operators, Fasola and Murray, along the way.  All right, enough on the rearview mirror. Let's talk about what really matters today and tomorrow, starting with 2023. We gave detailed guidance elements at Investor Day, but a few things have happened since then, including more clarity of the timing of the restart of redeterminations, a couple more Centene divestitures, a very strong Marketplace annual enrollment period and softer Medicare Advantage enrollment as we mentioned at the recent investor conference in San Francisco.  My bias when we haven't yet closed the first month of 2023 is not to touch 2023 guidance until we have some actual results, but there are a few things that will help you understand how we are starting out of the gates compared to what we outlined at December Investor Day. Our 2023 premium and service revenue should be approximately $2 billion higher than the range provided at Investor Day.  Let me bridge that for you: $1.5 billion more of Medicaid premium revenue from a higher starting point in 2023 and an additional 2 months until redeterminations recommence April 1; plus an additional $3 billion of commercial premium revenue from an outstanding marketplace open enrollment period; minus $0.5 billion of Medicare revenue as we were off in the annual enrollment period, down high single digits versus down mid-single digits; and minus approximately $2 billion of divested revenue previously in guidance, Magellan Specialty, Centurion and HealthSmart.  Let me go a little deeper on 2 2023 topics. On the additional Medicaid broad growth of $1.5 billion, we expect to give about 2/3 of that back in the redetermination process. So our previous estimate of $8 billion of ultimate run rate revenue give back goes up to $9 billion. By April 1, we expect to have grown by 3.4 million Medicaid members since the onset of the pandemic, excluding new markets and we expect to lose approximately 2.2 million of those members in the redetermination process over the next 1.5 years. In other words, about 65% of that growth.  The 2023 portion is baked into the new revenue guidance. The remaining 2024 portion would be about $6 billion of the $9 billion. And I know a number of you have asked about our early read of attributes related to our growth in Marketplace. As Sarah outlined, based upon a review of the demographics, metal tiers, product types, subsidy eligibility and distribution sources of our new membership, we don't see any signs of alarm. The proof will ultimately being the claims data, but all of this Marketplace growth, even membership from carriers who have exited, comes in at our product design, our network construct, our pricing and into our clinical models.  While we aren't changing our adjusted EPS guidance range at this very early stage for 2023, all of this recent insight, including the higher revenue base, biases us to the top half of our adjusted EPS range of $6.25 to $6.40. And of course, once we see from data -- once we see some data from Q1, we will refine all the underlying elements for you no later than our Q1 earnings call, suffice to say that we ended 2022 strong, and that looks to be continuing into 2023.  As we look out to 2024, we remain committed to our previously provided adjusted EPS floor of at least $7.15. While we're 10 months away from giving formal 2024 guidance, let me give you some updated color on recent events that are included in this assessment.  First of all, on the positive side, 2023 looks to be a little stronger out of the gate as we just discussed. Second, we completed California renegotiations in late January and are pleased with the outcome. Third, our Marketplace business is $3 billion larger than we had previously assumed, and we expect performance in the target margin zone in both 2023 and 2024. Four, investment income continues to grow, including the recent 25 basis point Fed rate increase in early February. Five, share count is down further, and with the stock price lower, we will strive to accelerate planned share repurchases earlier in the year. That's a pretty good collection of tailwinds.  On the headwind side, though, Medicare is going to be challenging for us in 2024. We knew it was going to be tough given the cards we were dealt in STAR scores, stemming from poor decisions in 2020. And the impact of a disappointing advanced notice on 2024 rates does not help. We will most certainly be pricing for a negative margin in Medicare Advantage in 2024 temporarily. And we don't expect to grow Medicare Advantage in 2024 and likely will shrink a little.  We have a lot of work between now and the first Monday in June when the bids are due to refine our estimates and products further. And obviously, the industry will be asking a lot of questions about the components of the advanced notice in anticipation of final rates in a couple of months.  But here is the silver lining. If we can achieve at least $7.15 of adjusted EPS in 2024, with a meaningfully underperforming Medicare business embedded in that result, that becomes a margin expansion and growth opportunity in the back half of the decade as we improve STARS and pull other levers over the next few years. We know what needs to be done. It just takes time, especially in STARS.  We can now turn the page from a very good 2022, the first year of execution from this management team and an important foundational year for multiyear improvement as we look ahead and ultimately getting to our long-term growth and earnings algorithm we shared with you at Investor Day.  Thanks for being part of our journey. Operator, Rocco, you may now open the line for questions.
Operator: [Operator Instructions]. Today's first question comes from Josh Raskin at Nephron Research.
Joshua Raskin: I wanted to start on the weaker MA start in the selling season. And maybe you could talk a little bit about was that due to changes by competitors? I heard something -- I heard a lot about the distribution channel changes that you made, but any specifics would be helpful. And then any benefit design changes that you made that you think contribute to some of that lost membership would be helpful as well.
Sarah London: Yes. Thanks, Josh. Happy to hit that at a high level and then have Ken weigh in as well. So as I mentioned in my remarks, our major focus in the selling season was on operational stability, and on the fundamental underpinnings, that would contribute to quality results because we continue to take long-term view in Medicare. And so in order to achieve those results, we started rebalancing our distribution channels with a bias towards more proprietary channels where we feel we could control the member experience better.  And so that was part of what impacted the softer results because, as you pointed out, we also had the competitive dynamics, investments from competition, not just in the market, but in those -- some of those channels that we deprioritized. But Ken, if you want to weigh in a little bit on benefits as well.
Kenneth Fasola: Yes. Thanks, Josh. The CMS data, which is readily available, demonstrates. So I think you've seen where members have moved. For our part, we rotated towards margin improvement, recognizing going in that, that would probably be at the expense of some member gains in very targeted markets.  But I think the insight that we've gained this past year, both with respect to the comments Sarah made about the distribution mix and the really overperformance from owned and more captive channels, along with, I think, a greater insight with respect to the characteristics of the kind of members that are likely more responsive to both our product and network mix, I think, gives us really the opportunity to be vastly more precise as we move into the new year.  And I think you'll see that as we move, not just through our product design positioning for the coming year, but the way we allocate and optimize distribution, resources and the marketing, now that we've all -- and we've moved marketing internally. We had some of that subcontracted, I think, is going to create a strong platform for the achievement of the guidance we've provided.
Joshua Raskin: And just a quick follow-up. Do you have visibility or any insights into the changes in membership, whether that's helpful from a quality improvement, STARS improvement perspective? Do you know the members that have lapsed relative to the members that you've retained? Does that feel like you're moving more towards the right direction on STAR improvement?
James Murray: This is Jim. Absolutely. Sarah and Ken both reference the focus on proprietary distribution channels. In past lives, I've seen that creating a relationship -- and we talked a little bit about in New York, creating a relationship with those members goes a long way towards some of the things that are measured in STARS. For example, complaints. If you have a relationship and you bring the member in and explain to the member the benefits that they are going to get and how to use the system, obviously the complaints to CMS are significantly reduced. We're beginning to see that, frankly, in 2023 in the first 1.5 months of results. Disenrollments are much lower as a result of using proprietary channels.  The other thing is that because of the stability of the existing membership, we expect that we're going to see some improvement in STAR scores as well as RAF scores going forward, which will help our overall margin profile going forward. So we feel really good about that. So focusing on relationships and how long we keep a member used to more of a 7- to 8-year member retention, and we need to begin to build that kind of stability going forward. And a lot of steps that we've taken around STARS are starting to see some favorable results. So feeling good about that.
Operator: And our next question today comes from Justin Lake at Wolfe Research.
Justin Lake: First, I want to appreciate the color on '23 and '24. Just wanted to get a little bit more detail, of course. So it looks like you're at 2.7% net income margins for 2023, give or take. From there, Drew, you mentioned Medicare Advantage margins go lower, it sounds like, year-over-year. I think the market certainly expects pressure on the risk pool in Medicaid year-over-year. So curious in terms of what gets better in 2024. I know one of the big buckets is Jim is working on those cost-cutting. Maybe you can share, for instance, how much cost-cutting benefit you expect to get from '23 to '24 as well as kind of your thoughts on that Medicaid margin in general and any other moving parts we might have missed.
Andrew Asher: Yes, sure. Thanks, Justin. Yes, some of the tailwinds for 2024 that are sort of baked into our forecast, obviously, a really meaningful tailwind from the PBM RFP as sort of a stair-step benefit, as we've talked about, that commences 1/1/24. And we're well in the integration period and the transition period, working well with ESI and CVS as both good partners. So we expect to yield that benefit across our entire book of business.  Investment income continues to be strong. We expect that to continue into 2024 share buyback. You see our share count, as we disclosed in our Investor Day deck, ended the year lower than we had anticipated. So we're able to bake that into our 2023 guidance. And at these prices, we'll be buying. That's for sure.  Marketplace will be a few billion larger than we originally anticipated in 2024. And we like our margin position there, and we can probably make another step or we will make another step in 2024. And then as you mentioned, the overarching value-creation plan, including a lot of the work that Jim and a lot of other people around the company are executing on pulling levers, we expect momentum as we get into really the third year of that value-creation plan. So those are all the tailwinds. But as I mentioned, Medicare is going to be a pretty significant headwind given STARS as well as the lackluster and advanced notice.  You also asked about Medicaid. So as I think about Medicaid, and I know you've asked this a number of times, but now we're on the conference call, that's FD compliant, so I can answer some of those questions. So as we think about the progression going from 2022 to 2023, we ended the year at 89.6% in 2022. And we've got about 30 basis points of pressure built into 2023 up to the very high 89s. But as we dissect the 2022 actuals and we look at things that we had to fortify or are unlikely to recur. That's another 10 to 20 basis points of nonrecurring, call it, items embedded in the 2022 Medicaid HBR.  So we think that gives us adequate room for a little bit of pressure from redeterminations as we are working hard with our associations, with the actuaries that represent our associations, the actuaries that represent the states, our state regulators, departments, and really sort of warming them up for what may or may not be necessary. But to the extent that there is a risk pool shift, we expect action probably not as fast, but hopefully close to as fast as the action that was put in, in the other direction with acuity changes during the COVID era.  So we're prepared for that. We've had a lot of time to prepare. And this, the elongated process of redetermination and the sloping, will help us gather data and be able to manage that HBR in the high 89s.
Justin Lake: And just to put a bow on it, anything on update on the 3.3% net income margin target at North Star for 2024, how you view that?
Andrew Asher: Yes. Well, our target is at least $7.15 of EPS. The interplay between operating income and share buyback will sort of affect whether or not that 3.3% is the absolute number that we hit for 2024. But that is our North Star, and we're going to keep on pushing for that. And obviously, the divestitures, as we've talked about, have some impact on the denominator there in terms of both the margin and the dollars. But we're going to fight hard to deliver that, at least $7.15, even though we've got a pretty meaningful Medicare headwind in 2024.
Operator: And our next question today comes from Stephen Baxter at Wells Fargo.
Stephen Baxter: A couple of questions on the quarter. I wanted to ask about reserves in PYD. I think that the DCPs look good, but trying to understand the magnitude of PYD you experienced in the quarter better. For a lot of other companies, by the time we get to the fourth quarter, PYD is pretty minimal. It doesn't seem like that was necessarily the case here. I would love to understand what drove this quarter and what business was impacted. And this might be the same answer, but wondering why we didn't necessarily see the same typical Q4 MLR seasonality in commercial. Any color there would also be appreciated.
Andrew Asher: No, you're right. We outperformed. That was probably the biggest contributor to our sort of overall slight outperformance on HBR, but commercial continues to be strong. And I'd chalk that up more to execution and the momentum that we've gained over the last, call it, 5 quarters in that Marketplace business, implementing clinical initiatives, the interplay with the value-creation office, not just for SG&A, but also for trend vendors and HBR initiatives that drive both quality and the affordability of health care. So those are some of the drivers that helped the commercial business, and we feel pretty good about that heading into 2023.  We do disclose that the roll-forward tables, I think one of them is in the press release, the rest will be in the 10-K, last year. So 2021 saw a higher favorable development of the 12/31/2020 reserves. That's understandable with sort of the chaos of practice patterns and claims patterns during the 2020 year of COVID, but still consistent reserve methodologies and a pretty strong showing of development during 2022 off of the 12/31/2021 reserves.
Operator: And our next question today comes from A.J. Rice at Credit Suisse.
A.J. Rice: A couple of things, if I could. First, on the Marketplace. I know -- I appreciate the comments about the demographics of the people you've seen through the open enrollment period. There's also been some questions about what are the demographics going to be of people that reverified off of Medicaid and go on the exchanges. I know the current exchange population has very diverse health needs. Do you think those redetermined Medicaid people that end up on the exchanges will pull up the risk pool? Pull down the risk pool? How are you thinking about that, first off?
Sarah London: Yes. Thanks, A.J., for the question. So if we think about the members who are redetermining off, we do think that those numbers are probably carrying a slightly higher acuity, but then you have to balance that with a view that with the growth that we've seen in the Marketplace product. And if you look back to historic periods of growth of this magnitude, it tends to bring many more healthy members into the pool. So the net effect of those 2 dynamics, it's hard to say exactly where that equals out, but our Marketplace team is watching both of those cohorts pretty carefully and I think has obviously had visibility into the fact that redeterminations were going to factor into 2023 and took that into account in pricing.
A.J. Rice: Okay. if I could slip in another one on your Medicare comments for next year. I know on the RADV, you said, "This is what we like. This is what we don't like." When you think about the rate notice, it sounds like there's places where you think the industry can comment to CMS and potentially ask, maybe look at it in a different way or something. Could -- are you willing to talk about where some of those points of discussion, at least between the industry at large and CMS might be?  And in terms of your strategy, it sounds like you're talking about a potential negative margin. So that must mean you're going to try to stabilize benefits year-to-year in a growing market. I'm wondering, is it conservative to say we're going to have stable benefits, but not have growth on the enrollment side?
Sarah London: Yes. On the Medicare side, we've said this coming into even this year is we try to design benefits in order to maximize stability as we move through '23 and '24. And I think we will continue to do our best to keep benefits as stable as possible, taking that long-term view that, that stable operations, optimizing for member experience, improving quality is the right thing to do, and weathering the '24 headwind may have an impact on margin as a result. But the goal would be to keep benefits as stable as possible. So we're not members, and we are focused on building those longer-term relationships, as Jim talked about.  Relative to your first question, the RADV rule is sort of in the final state. And so there, it's really about talking to our industry partners about how we feel about the impact of the as yet undefined methodology and what impact we think that may have and how comfortable we are with that. And then the 2024 rate notice is a regular cycle of conversations that we have with the agency in order to communicate what we believe the impact of the somewhat lackluster rates might be on the overall industry and the benefits to seniors.
Operator: And our next question today comes from Gary Taylor at Cowen.
Gary Taylor: [Technical Difficulty]
Operator: Pardon for the interruption, everybody. This is the operator. Mr. Taylor, your line is breaking up very badly. It looks like we have a bad connection. I would ask that you please disconnect and dial back in or pick up your speaker phone, if that's the case.
Gary Taylor: Is that better or not?
Operator: That's much better. Thank you, sir.
Gary Taylor: Okay. I apologize. I just wanted to ask about expectations for ACA risk adjustment given the enrollment growth for '23, when we've seen companies with really large enrollment growth in the ACA. Sometimes, they've been surprised to end up being increasing payable on the ACA front. So it looks sort of like in this case, you guys have generally been a receiver and now you're going to have a much larger population. Is your expectation that's fairly even? Or is there any material additional payable you're contemplating for '23?
Andrew Asher: Yes. So it's a good question. The demographics of what's coming in looks very similar to -- and actually, the subsidy eligibility has gone up a little. So nothing really alarming in all the attributes we can look at what we know today. Obviously, the proof is going to be in the med cost. And you're right, in Marketplace, it's a zero-sum game concurrent risk adjustment process for 2023. So that's something we'll be watching.  There's also 2 less competitors out there. And so we thought about that as we not only booked our 2022 risk adjustment receivables, but also as we forecast into 2023, we'll get the first Wakely data in June this year, and we'll have to take a look at that. But we've thought about that as we forecasted and as we closed out 2022.
Operator: And our next question today comes from Nathan Rich at Goldman Sachs.
Nathan Rich: I wanted to follow up on the Medicare business. Drew, could you help us think about the magnitude of the step down that you are thinking for Medicare margins in 2024, just given the comments that you made about pricing for a negative margin and trying to keep benefit stable maybe relative to the margin that you're targeting for 2023? And then I guess outside of plan design, are there any offsets that you think you can leverage to try to mitigate some of this impact in 2024?
Andrew Asher: We're always looking for whether it's -- Jim and the team, the Medicare team are focused on SG&A. I think there's opportunity there. There's continuing maturity in trend vendors. So yes, we're going to look for any possible offset other than benefits. And as Sarah said, we'll try our best to keep stability for our members, but we do expect at least at this early point to shrink a little bit in 2024. But the swing is pretty meaningful, both in terms of STARS and the very disappointing advanced notice with rates. I mean, that advanced notice for us, call it, minus 1%, excluding STARS because we made our own bed in STARS, but we are expecting a positive low single digit. So it's a pretty meaningful swing. Every point is a couple of hundred million dollars on a $20 billion business.  So we've got to manage through that, and it will be a pretty sizable drop. I can't give you an exact number yet. We'll definitely give you that in 10 months after we've gone through the bids, we've got the final rates, and we've developed sort of that balance between margin degradation and stability in the product. But it will be tough. We'll power through it. And '25 and beyond will be margin expansion and growth as well ramp up over the next few cycles of STAR results. And it's good to hear, Jim conveyed to you guys, that we're already seeing some elements of optimism that we're going to be able to achieve that multiyear improvement that we're seeking.
Sarah London: One other thing I would add when we think about levers in 2024 is the breadth and depths of our value-based care relationships, which is something that I think we are -- we're already planning on, but have the runway to accelerate in 2023 in order to be in an even stronger position. And as many of you know that, that was -- we have a good set of relationships with a number of the sort of leading value-based care providers, but I think we have been not as aggressive in that in the past, and so in 2022 started to turn our focus there. Our organizing around that internally brought in some great talent to help accelerate. So that will be a focus in 2023 that I think will give us some benefit in 2024 and then obviously beyond that as well.
Operator: And our next question today comes from Michael Ha with Morgan Stanley.
Michael Ha: I just wanted to ask a bit more about redeterminations and expectations. Appreciate all the color on the 30 bps of Medicaid MLR pressure in '23. I recall hearing at your Investor Day that your state composite rate increase, improved about 50 bps. So I'm just curious, how did that compare to your original expectations? I think there's originally been some concern that state rate increases may not go into effect until a couple of quarters after redeterminations were underway, but 50 bps improvement feels pretty strong, pretty positive, quite high.  And I think -- and if I think about the messaging around just most states expecting to complete redeterminations likely later in '23, then in that scenario, you're entering '23 strong rate increase, couple that with a very slow rollout of redetermination. It seems like a recipe that could present some earnings upside this year. Is that a fair way to think about how redeterminations might develop?
Andrew Asher: Yes. So the composite rate that is embedded in our guidance as we -- as you properly pointed out we disclosed at Investor Day is 1.4%. So I guess, yes, compared to a meager 0.9%, that is a big jump, but it's still on an absolute basis, 1.4%. So think about that in context. But the reason why we are 0.9% relative to the 1.3% that we had baked into our 2022 guidance, Florida was a pretty big piece of that. We expect the recovery there this year as we demonstrate the need for rates. So that will be an ongoing process as we go through the rate cycles. Luckily, they're distributed across the year. They're not all stacked on 1/1, like the commercial business or the Medicare business. They do -- we have slugs that renew throughout the year, which will help with the sloping of redeterminations as well.
Sarah London: Maybe just to add a little bit of color on the process. To your point about sort of the methodical approach that we were expecting, with the certainty of the year-end bill, we started to get updated information obviously from each 1 of our states and are -- continue to be in regular contact with them. And I would say that in general, we are seeing that methodical approach hold with the vast majority of our states sitting in a 9- to 14-month bucket in terms of the time frame that they expect redetermine redeterminations to play out under, and some of them indicating that they won't start April 1, they'll start closer to summer time.  So as you think about sort of the start date shift, overall, nothing that suggests overall slope line will shift materially. And we are seeing continued positive momentum from our states and being open to and encouraging our support in outreach and communication education efforts to members. So in general, I feel like the industry is aligning and organizing around an approach that will minimize or seek to minimize member abrasion in the process and are allowing us to run alongside our state partners, all of which is positive from our perspective.
Operator: And our next question today comes from Scott Fidel with Stephens.
Scott Fidel: Wanted to just drill in a little bit more, especially given possibly the importance of the buybacks. Just if you can walk us through your updated sources and uses of cash for 2023 and how much you think you can have for deployable excess capital for buybacks. And then, Drew, I'm not sure if you've given us 2023 operating cash flow guidance yet. So if you do have that, I would appreciate that, too.
Andrew Asher: Yes. So as you've seen, we did quite a bit of buyback in 2022. And even as we were in the 70s in January, we were able to execute on a few hundred million more. That was largely driven by divestiture proceeds. So we're continuing the portfolio review process. So the timing of buyback associated with divestitures will vary based upon sort of that M&A process. But in the normal course, yes, we expect late in the year a few billion of share buyback. We're going to see what we can pull forward, but we also have improved the allocation process and therefore, the management fee process, and that will trap a little bit of cash in the first half, maybe the first 3 quarters of 2023. So that's why we are back-weighted.  As you look at our guidance for share buyback, we've sort of back weighted that share repurchase. So it won't have a meaningful impact on '23, but it will roll into '24. So we're going to do our best. We'll probably pay down a little bit of debt as well as we're -- if we sell off an asset that had EBITDA, we'll pay off some debt as well to manage that. And now when you actually -- you pay off debt, you get a benefit with the interest rates higher. So we're going to do our best to take advantage of where we're trading, but we also need to do that with a balanced view of the capital structure.
Operator: And our next question today comes from Kevin Fischbeck of Bank of America.
Kevin Fischbeck: Just wanted to make sure I understood. I think you guys said that you expected to add 200,000 to 300,000 lives on the exchanges from redeterminations. I just want to make sure that, that was now, I guess, in your guidance. And then you talked a little bit about the risk pool on the exchanges, really interested in that concept about the people who come on from redeterminations because that's where I would guess, it would look more like the SEP from prior years, where you only have them for 6 months. You don't have time to risk score. And in theory, they're sicker than ever. So I would love to kind of hear how you're thinking about the risk pool of those members.
Sarah London: Yes. So relative to the redetermining members into Marketplace, we do -- again, as I said earlier, we do expect that on balance, they probably have slightly higher acuity. But at a minimum, pardon me, your point about the fact that we don't have them for the full year means that they turn to profitability as we move into 2024. And again, this is something that the team had visibility to throughout 2022 and coming into the year and baked into our guidance, and I think will be -- have the offset of our expectation that a number of those members who are coming into the pool will be healthier to offset that overall and are coming in with a 1/1 start date. So we have the full benefit of their 2023 risk adjustment.  And then relative to the 200,000 to 300,000, that continues to be our estimate that is baked into guidance. And a lot of that is of a belief that the vast majority of members who redetermine off will first go to the commercial book. And again, we just need to see how the data starts to play out and whether there are any adjustments to that as we see folks coming over on to the marketplace products.
Operator: And our next question comes from Steven Valiquette with Barclays.
Steven Valiquette: Really just a quick confirmation questions around potential impact [indiscernible] for the changes [indiscernible] for '23. [indiscernible] feel like they should be an as higher or greater to be offset by [indiscernible].
Operator: Pardon me, Mr. Valiquette, sir, I apologize. Your line is very bad, the connection. Can you pick up your handset if you're using a speaker phone, sir?
Steven Valiquette: Is that better?
Operator: Actually, no. It's not coming through well at all, sir. We're not able to understand what you're asking. Would you be able to reconnect or possibly reach out off-line. I apologize, we have to move on. We're not able to hear what you're saying. Our next question today comes from Calvin Sternick with JPMorgan.
Calvin Sternick: First, a quick clarification on MA. I think I heard a comment about lower disenrollment. Was that for this AEP? Or is that more of a go-forward comment? And then second, it sounds like MA has got a margin expansion beyond 2025. Just curious how you're thinking about the overall level of membership growth once you start getting -- you get past the STARS [indiscernible].
James Murray: This is Jim. I'll take the first part of your question. We've been doing a lot during 2022 to address some of the issues that we've had with STARS. A big driver of some of our poor STARS results had been the customer complaints called CTMs and disenrollment. And we're obviously -- I like to look at things every day. We're watching our CTMs and disenrollments for this past year, and the amount that we're seeing is favorable to what we've seen in the past. And so a lot of the steps that we've taken during the course of '22 seem to be bearing some fruit. Those results will -- as Drew mentioned, STARS takes time, will favorably impact our 2026 revenue.  We're also in the process right now. CMS comes out with CAP surveys from March to May. We're in the process of doing a number of procedures that have never been done here before as a consolidated Centene to enhance our CAP scores as CMS does that survey. So there's a lot of good things that are going on to positively impact where we think STARS will be in the future. I think when we were in New York together. We talked about 20% for 2025 being in 4-plus STAR plans, 20% of our membership. We want that to be at least 40% in '26, and then we're targeting 60% in '27.
Operator: And ladies and gentlemen, our next question today comes from George Hill at Deutsche Bank.
George Hill: Drew, I just wanted to circle back on the idea that you sounded pretty bullish on the opportunity on the PBM transition. Just wanted to see if there were any changes to expectations or synergy targets as it relates to that.
Andrew Asher: No. My bullishness is ESI and Centene working together to deliver what we anticipated when we inked the deal a couple of months ago or a month or so ago.  One more thing. Let me -- on share buyback, let me clarify something that I said earlier. I was answering a 2024 question. The $3 billion is our placeholder for 2024. The 2023 back half of the year share buyback is about $1.5 billion. And that's because we've got a little bit of trapped capital that we'll have to get out over the following year or so. So the $3 billion I mentioned is the forecast for 2024, absent any acquisitions.
Operator: Thank you. And ladies and gentlemen, this does conclude today's question-and-answer session. I'd like to turn the conference over to Sarah London for any closing remarks.
Sarah London: Thanks, Rocco, and thanks, everyone, for your time this morning. Please reach out to Jen with any follow-up questions, and we look forward to talking to you throughout the rest of the quarter.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.